Operator: Good morning, everyone. Welcome to Exchange Income Corporation’s Conference Call to Discuss the Financial Results for the Three Month Period Ended March 31, 2021. The corporation’s results, including the MD&A and financial statements were issued on May 13, 2021, and are currently available via the company’s website or SEDAR. Before turning the call over to management, listeners are cautioned that today’s presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provisions of Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the Risk Factors section of the Annual Information Form and Exchange’s other filings with the Canadian securities regulators. Except as required by Canadian securities laws, Exchange does not undertake to update any forward-looking statements. Such statements speak only as of the date made. Listeners are also reminded that today’s call is being recorded and broadcast live via the Internet for the benefit of individuals, shareholders, analysts and other interested parties. I would now like to turn the call over to the CEO of Exchange Income Corporation, Mike Pyle. Please go ahead, Mr. Pyle.
Mike Pyle: Good morning, everyone and thank you for joining us on today’s Q1 conference call. I am joined today by EIC’s President, Carmele Peter, who will review in additional detail the outlook EIC later in the call; and by our CFO, Darryl Bergman, who will provide a more detailed breakdown of EIC’s financial results for the period. As you’re all aware, the COVID-19 pandemic continues to create significant economic turbulence, both in Canada and internationally. While we’ve actively managed our business on a day-to-day basis, that’s been required to adjust to the constantly shifting realities of COVID, we’ve also established clear core principles at EIC that have guided our behavior through the course of the year. First, we have without comprise prioritized the safety of our employees and our customers. We’ve implemented an industry-leading biosecurity protection across our family of air operators to make sure our passengers are safe and the communities we are served are protected. And then our frontline workers are comfortable with knowledge that we’re doing everything we can to safeguard their health. And in all our operations, particularly in our Manufacturing segment, we’ve made significant changes to our workplaces to ensure that we are meeting and exceeding the guidance of public health authorities for social distancing, the provision of appropriate personal protective equipment and process changes that segregate our workplace and enhance disease prevention throughout our facilities. Second, we have maintained our services, even an instance where it was not profitable to do so. Decide the precipitous and passenger traffic across our family of airline operators at points during the pandemic. We made the proactive choice to continue flying to every destination in a pre-pandemic network. We understand the aviation services we provide are vital. The communications we serve at count on, pardon me, the communities of people we serve count on us as an irreplaceable lake for transportation, medical care and the delivery of essential supplies and food that would not otherwise be available. So at this critical time, we prioritize keeping those linkages and staying present in our communities. Thirdly, we actively managed our expenses and our financial resources to ensure that our dividend remains viable. Since EIC’s founding, we’ve made the payment to a dividend and explicit policy of the corporation. We’ve bet this commitment to our shareholders in every instance, irrespective of global economic circumstances. We’ve worked hard to continue this obligation through the pandemic. And finally, we’ve worked hard to position EIC to exceed – to succeed in the new dormant. The encouraging sign on the horizon as vaccine distributions in Canada wraps up and we continue to see evidence of considerable pent-up demand across our lines of business. We believe EIC will identify new opportunities to continue growing our company through accretive acquisition and strategic investment in our existing businesses. We’ve been taking steps at managing our business since the start of the pandemic to ensure we’re ready to move when the time is right. And I’ll share some additional thoughts on that later in my remarks. Turning to our financial performance, once again today, very pleased to be reported strong results for EIC through the first quarter. Results that are even more exceptional when contrasted with a comparable period in 2020. While Q1 this year, saw our businesses managing entirely in a pandemic environment, particularly volatile in the quarter as domestic markets were heavily affected by a pronounced second wave of COVID-19. While Q1 2020 included only two weeks of pandemic conditions and over two months of regular operation, irrespective of the environment, our operations considerably outperformed last year standards. Our consolidated revenue of $301 million remains consistent with year-over-year down approximately 2% from the comparable period of 2020. Our EBITDA performance of $64 million in the quarter improved 12% when compared to the first quarter of 2020. And critically, EIC’s payout ratio on a free cash flow, less maintenance capital expenditures basis, improved year-over-year with the company maintaining a 62% payout ratio improved in comparison to the 68% recorded in the 12 months ended March 31, 2020. This measure is a testament to management’s proven ability to navigate the pandemic environment, while maintaining our focus on cash flow. Q1 2021 marks the first – marks the 12 months of operations in a pandemic environment characterized by uncertainty, instability of a global and domestic market. During that time, the benefits underlying strength of our diversified business model and our ability to generate value for the shareholders, while solidified the future of our enterprise have been brought up. In addition to improving our payout ratio of free cash flow as maintenance capital expenditures basis, EIC’s net debt has decreased by approximately $50 million over the last 12 months. We’ve continued to responsibly and sustainably meet our dividend obligation to shareholders. Move forward with planned maintenance reinvestments in our operations and completed a strategic and accretive acquisition fundamentally strengthens our competitive position going forward, adding WIS to the EIC family of companies in the third quarter of last year. We’ve also reported numerous positive achievements and speak directly to the strength of the innovative capacity of our existing enterprises. PAL Aerospace is recent award of a contract to provide two fully missionized Dash-8 maritime surveillance aircraft and accompanied support services for the Netherlands Coast Guard being just one notable example in the series of accomplishments you see extended across all of our business line. Importantly, we’ve made significant contributions to the communities we serve by directly leveraging our unique capabilities to assist in the fight against COVID-19. Most probably did those efforts is the management and operation of a highly specialized charter service on behalf of Indigenous Services Canada, these dedicated flights deliver frontline medical personnel to remote flying first nations communities across the country. Following a strict biosecurity profiles that allow EIC’s nursing workforce to complete their quarantine obligations at home and get directly to work on arrival. Given the markets our airlines serve our deep commitment to providing essential air services on a reliable basis, and our appreciation for the challenge of northern winnings, especially the pandemic context, our ability to partner with ISC in developing and delivering the service as being particularly meaningful for all of those involved at EIC. In closing, while Carmele will provide additional guidance on the outlook for EIC later in the call, I wanted to share my thoughts on a couple of specific topics. With respect to the ongoing uncertainty of the pandemic, we know it’s not done with us yet. The recent third wave of COVID-19 in Canada has created significant challenges to staffing and safe operation of our production facilities, while again, negatively impacting our passenger loads in our airline operations. We are confident in our ability to persevere, we will draw heavily from the lessons we learned during the first year of the pandemic to see our way through the third wave, which will invariably affect our results through the next quarter or perhaps two. We are starting to see some light at the end of the tunnel. We are picking up some encouraging early indications that EIC remains poised for strong post-pandemic recovery. As the pace of vaccine distribution has accelerated in the United States, we have seen a steady build of activity in revenue in our operations at Regional One as U.S. air carriers actively reintroduced service to meet demand in that market. Closer to home vaccine distribution in Canada has now proceeded with encouraging consistency, the domestic economy response, we expect to lead the recovery with strong pent-up demand for our vital aviation services and healthy order books across our Manufacturing segment. EIC is also committed to continuing our search for acquisition and investment opportunities in line with our strategy of solidified the future of our company and building organizational value for our shareholders. We have repeatedly demonstrated our ability to complete accretive acquisitions that build our enterprise. And we are greatly encouraged by what we see on the horizon with that respect. To ensure we are prepared to execute when the time comes, we’ve made the proactive decision to raise $80 million in equity through a bought deal public offering of COVID shares. This move on our part was not taken to reduce existing leverage, but rather because we expect to grow. We understand the imperative of maintaining our historically strong balance sheet, while completing future acquisitions. This additional liquidity was secured to ensure we meet both of those objectives. With that in mind, appreciating that some of the pandemic challenges are still ahead of us, I remain profoundly optimistic about the near-term future for EIC. And I look forward to future reports or anticipate outlining how we’ve invested this additional liquidity and grow EIC for the future. I’ll now turn to Darryl to outline EIC’s financial performance in greater detail.
Darryl Bergman: Thank you, Mike, and good morning, everyone. As Mike noted in his remarks, EIC has continued to deliver solid financial performance through the first quarter of 2021, despite the ongoing challenges and unpredictability associated with the COVID-19 pandemic. We remain highly focused on the company’s balance sheet, carefully managing expenses and financial resources to support EIC’s strong foundation, while sustainably meeting our dividend commitments. Additionally, we’ve benefited greatly from the diversity management has carefully built in the EIC since its inception, strong leadership teams we have in place across our subsidiary divisions have continued to find solutions to challenges inherent in the COVID-19 environment, demonstrating time and again, our ability to continue delivering for our customers. Turning now specifically to EIC’s results for Q1 2021. Working capital management continues to be a paramount importance for EIC. In a quarter historically considered weaker for EIC in terms of financial results due principally to availabilities in northern communities served by our legacy airlines and traditionally higher maintenance capital expenditures the company delivered a quarterly increase in net debt of only $4 million. Comparatively over the last 10 years, our average net debt rose approximately $40 million in the first quarter. This improved performance again demonstrates the flexibility of our business model and ability to adapt and respond quickly to unforeseen challenges. The size of the corporation’s credit facility as of March 31 remained unchanged at approximately $1.3 billion with the ability to access another $300 million in an accordion feature, should we choose to exercise it, giving the corporation combined access of up to $1.6 billion. Utilization of the corporate credit facility with $815 million at the end of the period, reducing this by $84 million in cash on hand it resolved in the net debt of $731 million. At the end of the quarter, the corporation had readily available access to liquidity of $560 million, excluding the accordance. As Mike noted, subsequent to the end of the quarter, the company did complete a bought deal financing of common shares net proceeds of the offering to repay debt on its credit facility in the second quarter. Also subsequent to the quarter end the company made a repayment of debt with cash on hand. The combined effect of these transactions reduced outstanding credit facility debt by approximately $90 million, bringing it to approximately $725 million. This provides the company with the additional capacity to accommodate opportunities for growth as they are identified. At the end of Q1 2021, our leverage ratios remained well within the current 5x covenant and notably our original 4x covenant prior to the temporary amendment in Q3 2020 with lenders, coming in at 2.7x. The strong cabinet results are driven by the corporation successful management of capital expenditures along with working capital. Going forward, inclusive of the impact of all announcements to date, management continues to expect to be within the original 4x covenant, which we will refer back to at the end of Q3 2021. Further on our balance sheet, we ended the period with working capital of $312 million, which represents a current ratio of 1.95 as compared to working capital of $324 million and a current ratio of 2.10 at the end of 2020. Q1 2020 revenue continued to be negatively affected by the impacts of the pandemic. Note that comparatives to the corresponding quarter in 2020 would only reflect the impact of the pandemic on Q1 2020 period were approximately the last two weeks of the quarter. Also notable in the first quarter of 2021, the Provincial governments in Manitoba and Ontario announced they had reached agreements with the Government of Canada to support essential air access into remote communities for the period of July 2020 to December 2020. This fine support continued service to remote communities that otherwise would not be economical. Revenue for the period includes an estimate of the amounts the Corporation expects to receive under these Provincial government programs, which is less than the maximum available under the programs. The Provincial Governments have subsequently announced an extension of the support for 2021. Our portion of the program has not been determined but is expected to be sequentially less. Any amounts received will be recorded in subsequent periods. In Q1 2021, we generated $301 million of revenue, which is a decrease of $6 million or 2% from Q1 last year. The Aerospace & Aviation segment revenue decreased $17 million and the Manufacturing segment revenues increased by 11 million. Aerospace & Aviation segment revenue was down 9% to $183 million. Revenues from our Legacy Airlines and Provincial decreased by $2 million the decrease was primarily attributed to reduced demand for scheduled travel caused by the pandemic throughout the quarter. In the comparative period for 2020, the EIC experienced strong revenues in the first two months of the quarter before the pandemic impacted our operations in the second half of March. Decreases across the subsidiaries’ scheduled passenger operations were largely offset by improvements in cargo, charter, rotary EMS operations and greater utilization of Provincial’s on demand ISR aircraft. The government financial assistance supporting continued essential service into the remote communities also partly mitigated the decreases. Regional One revenue decreased in Q1 2021, relative to the comparative period in 2020 by $16 million. The decrease was driven by declines in Regional One’s two main streams of revenue, sales and service revenue and lease revenue. Sales and service revenue decreased by 21% over the year – over year-over-year attributable to the impact of the pandemic for the full quarter of 2021. With that said, decreases in the quarter were partially offset by an increase in sales of larger assets compared to Q1 2020 and their lines around the world are either reintroducing service or preparing fleets to return to service. Lease revenue decreased by 54% period-over-period. Pandemic impacts have consistently driven a material drop in customer demand and utilization of the company's assets. Q1 2021 takes into account a full quarter of the pandemic. Now turning to our Manufacturing segment, revenue grew by $11 million over the prior period. The total revenue for this segment was $118 million. All of EICs manufacturing facilities have been deemed essential services and have been operating throughout the pandemic. The segment continues to experience robust demands, slightly offset by reduced efficiencies, as operations adapt to COVID-19 health and safety measures. The acquisition of WIS in Q3 2020 also contributed to the period-over-period increase in revenues with no comparative in the first quarter of 2020. Moving to EBITDA, consolidated EBITDA was $64 million, up 12% or $7 million compared to the prior period. Within the period of the Corporation was eligible for and received the Canadian employee wage subsidy or CEWS offered by the Government of Canada. Under the program, the corporation received $9 million during the period. CEWS funding allowed the corporation to retain workers on payroll who would have otherwise been laid off, to rehire workers who were previously laid off and to continue essential business activities. EBITDA in the Aerospace & Aviation segment in Q1 2021 was $53 million, an increase of $4 million compared to the prior period. EBITDA generated by the legacy airlines and provincial increased by $16 million within the quarter, strong cargo, charter and rotary wing operations, and improvements in the aerospace operations, helped mitigate pandemic impacts to schedule passenger operations. Provincial’s aerospace operations benefitted from contract pricing and scope escalators and increased on demand ISR aircraft utilization. Additionally, a cost reduction measure associated with scheduled frequency reductions, labor rationalization, and various other strategies that took some time to implement in 2020 were meaningfully realized in the first quarter of 2021. EBITDA for Regional One is decreased by $12 million from the prior period. The decrease is related most significantly to the $9 million reduction in lease revenue where EBITDA margins are material. Reduce passenger volumes being experienced by regional airlines around the world remains the primary driver behind the decrease compared to the comparative period, decreased parts sales also contributes to decrease EBITDA. Increased sales of aircraft and engines compared to the prior period and cost saving initiative this year implemented sales outline, get contribute to mitigating the impacts of pandemic. In the Manufacturing segment, EBITDA was $18 million, an increase of $4 million compared to the prior period. EBITDA at our Quest business increased over that period, reflecting the acquisition of WIS in the third quarter of 2020 with no comparative in the first quarter of 2020. During the first quarter of 2021, operations at the Quest facility in Texas was interrupted for several days due to the severe weather snowstorm experienced across the State of Texas, which resulted in a state of emergency being declared. This reduced output from the facility and reduced their efficiencies for a period of time, which negatively impacted EBITDA during the period. In addition, Quest continues to be impacted by job site delays and inefficiencies as a result of health and safety protocols relating to the impacts of COVID 19, the balance of the Manufacturing segment collectively experienced an increased in EBITDA period-over-period. As noted with revenue, demand in the segment continues to be robust and the CEWS program helps to offset higher health and safety costs. Turning to earnings. Net earnings for the quarter were $7 million, an increase of $12 million compared to the prior period. In addition to the increase in EBITDA, a reduction in interest costs and depreciation on capital increased net earnings. Of note in the prior period, a non-recurring $6 million impairment loss on certain tangible assets, decreased net earnings. Net revenue per share increased by $0.35 to $0.20 per share in comparison to the prior period, it should be noted that in the period, the weighted average number of shares increased by 2%, which partially offset any increase on a per share basis in net earnings, adjusted net earnings and free cash flow. EIC reported adjusted net earnings of $11 million for Q1 2021, representing an increase of $8 million or 413% compared to the prior period. The company delivered adjusted net earnings per share of $0.30 up from $0.06 in the comparative period. EIC continues to demonstrate our ability to achieve positive cash flow and positive earnings in a period defined by economic uncertainty. In Q1 2021, free cash flow increased by 7% over last year to $42 million or $1.17 per share. These results are driven by the increase in EBITDA and partially offset by higher current tax expense. Free cash flow less Maintenance Capital Expenditures per share increased to $0.55 per share from $0.07 per share in the prior period. The free cash flow less maintenance capital expenditures payout ratio on a 12-month trailing basis is a strong indicator of the corporation's ability to actively manage cash flow even through uncertain and volatile time. Baring that in mind, free cash flow less Maintenance Capital Expenditures payout ratio on a trailing 12-month basis compared to the prior period strengthened to 62% in Q1 2021 versus 68% in Q1 2020, despite a full year of operations within a pandemic environment. As Mike indicated earlier, EIC is ability to improve our payout ratio on a free cash flow less maintenance capital expenditures basis is evidence of the success – successes we've achieved in managing the challenges of the pandemic, maintaining our focus on cash flow and building a strong foundation that will support the future growth of the corporation. That concludes my review of our financial results. I will now turn the call over to Carmele to share some thoughts on EIC’s outlook for the coming months.
Carmele Peter: Thanks, Darryl. My comments today will focus primarily on the near term outlook for the corporation across our various lines of business. I'll then transition to some more general observations on our optimism for the future of the EIC. We know that COVID third-wave and the emergence of new variants will continue to challenge our operations and our results through Q2 and into Q3 2021. That said, we see a hopeful sign in the near term as vaccine distribution programs accelerate in North America, and we're getting positive indications of pent up demand we can capture in the post pandemic environment. However, for the next several months COVID-19 will continue to impact each of our subsidiary business lines albeit differently, both from an operational and revenue perspective. In our airline operations scheduled passenger volumes will remain closely tied to travel restrictions in the jurisdictions in which we operate. Currently, passenger bookings across our network are tracking on average between 60% to 70% behind what we would have historically expect. Despite this immediate pressure, our operators are seeing strong evidence of pent up demand across our markets with bookings rebounding almost immediately in circumstances where travel becomes feasible. EIC medevac operations continue to perform consistently and in line with expectations while our cargo operations are experiencing persistent increased demand that we believe is likely to continue as elevated COVID infection rates and regional travel restrictions remains. EIC chartered business continues to be strong benefiting from sustained activity in the natural resource sector, continued activity on behalf of Indigenous Services Canada and ad hoc COVID related charters. Our Aerospace is core business predicated on long-term contracts for the delivery in multi-year programs, including our work on behalf of the Department of Fisheries and Ocean, our performance based logistics contract in the UAE and our support of the Government of Canada’s Fixed Wing Search and Rescue fleet have been a source of great stability for the business in an uncertain pandemic environment. That said, governments’ preoccupation with COVID impacts and their vaccine rollout could in the short term negatively impact PAL Aerospace’s on-demand ISR service offering. At Regional One, although the business continues to be material impacted by the pandemic, management has started to see the early signs of industry recovery with particularly accelerated activity in the regional airline market. Several air operators, particularly in the U.S. are forecasting a returned to pre-pandemic domestic passenger loads by early 2020 driven by strong demand in the leisure market. This upward trend in activity growth, sequentially higher parts and lease revenue through the first quarter and is expected to continue for the remainder of 2021. Regional One sales of large assets, aircraft and engines will remain variable as it was in the pre-pandemic environment. The demand remains robust through EIC’s Manufacturing segment while our businesses continue to navigate pandemic effects, including required employee absolutism and irregularities in external supply chains. As we previously discussed, COVID has caused project deferrals at Quest, which will create production gaps and negatively impact revenue for the balance of 2021. Despite this turbulence, long-term demand remained strong and Quest order pipeline is returning to pre pandemic levels. EIC’s maintenance capital expenditures will continue to closely track flying levels, which we anticipate will increase in future quarters, as operational tempo increases at EIC Airlines. That said, EIC has not parked aircraft during the pandemic. And in contrast to other Canadian and international carriers is not facing substantial deferred maintenance costs associated with increasing services to meet growing passenger demand. From a growth capital expenditure perspective, the balance of 2021 will be focused on the modification work for the two new surveillance aircraft required to under the Netherlands contract. And the start of construction of a new hangar facility plan to support the Government of Canada's Fixed Wing Search and Rescue program and on supporting opportunistic asset acquisitions identified by Regional One. Despite the near term COVID challenges and uncertainty, our track record continued solid financial and operational performance over the course of the last year has not only given us confidence, and it has positioned the EIC to capture near term strategic opportunity and lay the groundwork for an exciting future for the company. The scope of our Aerospace business will grow through 2022 realizing the benefit of previous investments through the commencement of the Netherlands operation and the evolution of the Fixed Wing Search and Rescue program. Order books and sales inquiries remain strong across our Manufacturing segment with persistent indications of pent up demand for our products as the North American economy begins to rationalize post COVID-19. PAL Airlines has recently initiated significant schedule enhancement to expand its regional network through Eastern Canada and Quebec, having an already established presence in the region and deep familiarity with the markets it serves PAL Airlines is well positioned to flexibly deploy capacity to meet emerging demand for travel in the region. As it extended its network, including the destinations were previous national carrier service has been suspended due to COVID-19 impact on travel, PAL Airlines is working cooperatively with national carriers to build regional connectivity by facilitating passenger access to domestic transporter and international networks. Regional One has increased its tempo, but exploring and executing on strategic purchasing opportunities in the market recently adding additional ERJ190, CRJ and Q400 aircraft, which we expect to deploy in support of regional airlines as they ramp up operations in reestablished networks. And as Mike and Darryl mentioned previously, we have recently added substantial liquidity through an equity offering that will provide financial flexibility that EIC needs to execute on increased acquisition opportunities, we are proactively identifying in the market. As you've heard throughout our remarks today, management is extremely confident in the future for EIC. Our results through the pandemic have again, solidified our belief in the company's strategic direction. And in the framework we've established to support the continued health and growth of the corporation. We're excited about the future for EIC. Believe we're in a strong position to continue adding value for investors and have in place the strong fundamentals we need to continue executing on our business plan in the coming months. Thank you very much for your time this morning. And we would now like to open the call for questions. Operator?
Mike Pyle: Operator, we're ready for the questions.
Operator: [Operator Instructions] Your first question comes from the line of Chris Murray of ATB Capital. Please go ahead. Your line is open
Chris Murray: Just going to look at the margin profile in the quarter, just trying to make sure I understand some of the moving parts in this one. You have the CEWS benefit. I think there was about $9 million or if you want to just confirm that for me. But in the quarter two, there was also, I think the support agreements that you would have had with a number of the provinces. Did that have any impact in the in the numbers this quarter from either prior periods or the current quarter?
Mike Pyle: You're correct on the amount of the CEWS, it’s approximately $9 million. We did have the benefit of the agreements with the provinces that were announced. The funds for that program relate to services provided last year because it's revenue support. It goes into the revenue line as opposed to CEWS, which were reduction of expenses. The previously published support numbers for the government. We qualified or we've recorded slightly less than what was publicly announced simply because our operations were slightly better over that period. And we're still working on the precise formula with the government. But the effect of the newly announced Provincial ones would have been less than the CEWS.
Chris Murray: Okay. That's helpful. Just to keep in mind. So you guys are pretty comfortable with the margin performance in the quarter was relatively due to operations as opposed to call it third-party influences around COVID.
Mike Pyle: Yes. I mean, it's a whole bunch of things, Chris, it's product mix changes, there's a whole bunch of things that add up to it. The CEWS would definitely have a margin impact, particularly in the manufacturing businesses because their remit their revenues were reasonably strong. But having said all that, there's a whole bunch of things that go the other way with plant shutdowns and less employees on a given day and employee absenteeism and dotted the negative sense of that. We want our employees to stay away when they're not feeling well and those kinds of things, but they do create production challenges and therefore inefficiencies.
Chris Murray: Okay. Fair enough. And then one question for you and you kind of alluded to it a little bit with the Regional One, and certainly, it's a potential for a pretty big swing in the year, depending on how that activity comes back. And I got the idea that you're kind of getting ready. Can you give us some context though on the size of the aircraft fleet or the inventory, however, you don't want to kind of try to explain it, between where you were before COVID where you are today? And any changes in how that mix will look down the road. And then the second part of this question, if you want to address it. How much are you seeing in terms of opportunity to add additional aircraft? You did make the comment, I think, in the MD&A that you are seeing some opportunities out there. But you're just sort of waiting. So any color around, the – what Regional One might look like as we get to the end of the year and into next year would be appreciated.
Mike Pyle: That's a fairly all encompassing question. I'll take the product mix first. The fleet looks largely like it did before. We've added a little bit of exposure to the Dash-8 Q400. We've also added a little bit of exposure to the Embraer 190. We’re purchased in those. We are looking at opportunities at fleets in different places. I would say, quite frankly, that the strength of the price of aircraft has surprised assessed through this. Perhaps, it's the government support of airlines, not so much in Canada. But in other parts of the world, that actually what we've seen is there's more do start up airlines than there are airlines failures in the world and so we anticipate a fairly fast ramp up and we're starting to see it in the U.S. The number of flights is up and the demand for the narrow body jet is very strong, whether it's the conversion of the 700 CRJ to 50 seat platform at places like Go Jet or just the ramp up of that type of aircraft as a whole of the U.S., as we anticipated, but the U.S. is ahead of the rest of the world. The market in Africa has been reasonably strong as well. Europe would look a lot like Canada, where we've seen starts and then feedback starts, then feedback. We believe that you'll see the performance that we're starting to see the U.S. now as we go into the summer and fall in other parts of the world. But when you look at the ramp up we seen the parts business move first, as we started to see bigger piece of engines, and those kinds of things go as well. That's always been a bigger part of the U.S., we've always sold more parts there. And so that's why it's jumped there first, because that market has gone first. And then I think we'll see the leasing of full aircraft sales strength is through the balance of the year. Carmele?
Carmele Peter: Yes, I was just going to add Chris that the reason you haven't really seen much of a change in our, what I'll call our fleet competition is that we were in the right type of aircraft and platforms. We made the right decisions kind of pre-pandemic. So we've got strong and we're very well positioned and we're going to have strong demand. The other, I guess, additional color all provide is, I think you'll see us looking to at least a lot of engines. We think there's going to be a lot of demand as operators come out and start meeting demand that exists. It's one area where they can save some immediate spending is leasing engines and we're well positioned in that regard to be able to meet that demand. So as I look forward that's an area that I would focusing on.
Chris Murray: Okay. That's helpful. And then one more, if I can just sort of slide it in. You guys renewed your NCIB for the common stock, but you also added an NCIB for the debentures. What's the rationale on adding the debentures into the NCIB it's kind of unusual?
Mike Pyle: It's really simple. It's the same concept we use on the stock in that – in times of irrational trading, we want to be able to pivot and step in and stabilize. The debentures are not nearly as liquid as the stock is. And as a result, there's occasionally at normal as of the trading. We want to be able to support that trading. We haven't used it today. The debentures are trading in a healthy manner, and as long as that's the case, I don't envision us using that in a material way. It's more to provide stability when required.
Chris Murray: All right. That's helpful. Thanks folks.
Operator: Your next question comes from Cameron Doerksen of National Bank Financial. Please go ahead. Your line is open.
Cameron Doerksen: Thanks. Good morning. So a question on Quest, you mentioned in your remarks that you are starting to see, I guess, a rebound in inquiries which is obviously a good sign. I'm wonder if you could maybe just expand a bit on that? Like what specifically are you seeing and does it give you some good confidence that you'll I guess looking into 2022, we could start to see some growth in that business again?
Mike Pyle: Carmele, you're probably closer to that than me.
Carmele Peter: Yes. So what we're seeing is, well, I guess I'm going to take a step back. Cameron is, first of all, all our customers that we had before are alive and well I guess as a whole to describe it. And they're all kind of reactivating in the projects that were potentially put on hold or deferred. So that's the first thing I look at as a strong sign. Secondly, as far as new inquiries coming in were the number of inquiries and the quality are not slowing down. They're really at a level that we saw prior to the pandemic. So super encouraging. Now, again, there long lead times with these projects, by the time you get the plans and licensing, et cetera. So that's not going to show up as far as we work for Quest until 2022, 2023. But all very encouraging that the market has come back and come back strong.
Cameron Doerksen: Okay. That's very helpful. And it just sort of unrelated to due to the manufacturing segment. I mean, a lot of companies have expressed concerned around supply chain and various components that inflation and things like that. I mean, can you maybe just talk about, if you're seeing any supply chain shortages in any of your manufacturing operations, or if there's any big inflation impacts that might impact margins in the business?
Mike Pyle: Look, inflation went first. We don't – while there has been increase in some of our input costs. A lot of the things we manufacture have direct ties in our contracts with our customers to enable us to pass on both increases and decreases in the cost of steel. And so we aren't particularly concerned about the inflationary part of the environment. We have seen supply chain interruptions not in a major way, but sometimes with different versions of stainless, where would we be able to challenge in accessing certain things. And the one thing that has come out of that is a great increase in how much we work together within our manufacturing family, because they have different suppliers at different access to things. And we had the opportunity to help one of our customers out in our Overlanders business recently because their existing supplier for one of their parts could not access the right metal. Well, these are good way. And so we talked to our Alberta business who has access. They couldn't find it either, but through Quest and their relationships, we were able to acquire the steel ship it to D.C. and satisfy a customer's significant challenge through the relationships between our companies. And so we have seen an increase in the internal communication on that front. And I'm not dealing with the supply chain things on a day-to-day basis and they're certainly frustrating. But I would describe them as systematic or material at this point. They're frustrating. And they're isolated for lack of a better word.
Cameron Doerksen: Okay. No, that's very helpful. That's all for me. I'll pass the line. Thanks very much.
Operator: The next question comes from Tim James of TD Securities. Please go ahead. Your line is open.
Tim James: Good morning. Hello everyone. I'm just wondering thinking about cargo opportunities. It sounds like you you've had some strength there. And it really, there's not a component of the business currently, but I just wonder if you can talk about sort of how those opportunities have come to fruition and as you look forward, is that something that you can capitalize on further and maybe create a little additional revenue relative to what you would've thought kind of pre-pandemic?
Mike Pyle: Yes, that's a good question, Tim. The freight, you have to vision that most of the freight we're doing is into remote Northern communities. And so part of the reason freight is as high as it is, is because typically our customers, most communities will travel out once, twice, three times a year for medical appointments, for other things, and then come back with significant shopping they've done in Southern stores. The Walmart’s and those things, and bring things home with a decline in travel that has occurred, but they have accessed those stores through more direct internet kind of purchasing. We believe that at least a portion of that is going to be a permanent behavior. And given the fact that we are the Canada post supplier and most of the markets we're in, and the only ones going on a regular basis, we anticipate that won't be taped that program. We have there – through the federal government, I mean, Northern food security program and the subsidies they provide doing know more as Food Mail. We've seen people buying stuff in the South and having it shipped up on a subsidized basis to support that we've begun pilot programs of actually delivering it right to the doors in communities. So they don't even have to come up and pick it up at the airport. We see strong buy-in on that, and that's a program you'll see us continue to enhance in the future. So while there's clearly a bit of a pandemic spike in freight, simply because people can't travel, we believe that new normal will continue to have higher levels of freight business because of the habits that have been established during the pandemic.
Carmele Peter: Yes. Also we're seeing a stronger demand in the resource sector, so as that grows, or we see kind of greater activity there. There are potential opportunities that could arise in that sector and moving things into camps.
Tim James: Okay. That's helpful. My second question is in relation to your airline operations, but I'm thinking passenger operations here. Do you think the airlines have benefited anywhere from changes to regional services from the big mainline airlines. And if so could the resumption of those services be a small headwind for those operations as we kind of emerge from the pandemic over the next one to two years.
Mike Pyle: We have seen some slight, well, some withdrawals in service in the maritime in PAL business. And so to the extent that on some of those where there were amazing carrier, should they return to service on those routes, they could be. I think there's some permanent changes in the service in those areas. And quite frankly, I actually see it more as a positive than negative. We need to make sure we're providing a conductive service into the major carriers. We are not alternative to Air Canada has never ordered WestJet. We've never said we are – we don't tend to be, but we can work with those carriers to provide connectivity of the smaller markets. It makes sure they have access. And I see that as more of the future, there may be a couple of routes where you may see new competitive flights on, but I think that's a way by the opportunity to take people out of other service markets and connect them into the major areas.
Tim James: Great. Thanks, Mike.
Operator: Your next question comes from [indiscernible] of RBC Capital Markets. Your line is open.
Unidentified Analyst: Good morning, everyone. Good morning. So I guess just to start off here with the legacy airlines. I was curious to get your take on how discussions with the federal and provincial governments have been going with regards to the potential removal of travel restrictions. I was curious if you had any insight or any early indications as to when this might occur or what level of vaccination progress might be required before seriously considered?
Mike Pyle: It’s a good question. I wish I could be more informative on this that much like most of COVID the governments are flying by what's happening today and tomorrow. The good news is the adults in virtually all of the first nations could we serve a sort of largely vaccinated. The vaccination levels are way higher than they are down South. So the ability to start up moving very rapid, particularly new to it is essentially complete vaccinating adults. I believe that they're going to vaccinate children before they take some of the restrictions off, but I don't believe government restrictions at this point are going to be the key determinant of how fast the recovery is. As soon as things normalize it in the South and some of the restrictions on movement within the cities, restaurants, opened those things. I think you're going to see an increase in leisure travel from the first nation, simply because they haven't been able to do it. And then the real thing that will open the flood gates is when the provinces are in a position to provide medical care. There's backlogs and we've seen numbers of in excess of a full year normal medical treatment system for the system that's inner rears. And so the rate determining step, I believe, will be how much the medical system can handle. There's only so many appointments they can make so many diagnostic services can be provided. So I believe the rate determining step is going to be the medical system loosening up as they are fully occupied with COVID like they are now to enable more medical appointments, more travel. And so we're very bullish. And we saw last summer when COVID wave significantly, our numbers bounced really quickly, not in terms of years or months, but actually weeks and days after the stop was available, we saw it in our services. And so we've seen that creep up just before this most recent third wave shutdown. So it's a bit of a challenge in this quarter, but as we see even Ontario already, we're starting to see the numbers come back down as the – that relaxes, the pent up demand in our airlines will ensure that we bounced back much like what's happening to U.S., but probably even faster than that, because of the essential nature of the travel that needs to be done.
Carmele Peter: World travel restrictions may have an impact in the maritime or maritime operation. We saw last summer kind of the effectiveness of the Atlantic bubble on our passenger numbers for PAL airline. And so with that, having been shutdown or the case numbers being up there in the maritime, that is impacting our passenger numbers for PAL life. So don't know when that's going to open. I think that last date I heard was May 17 that will likely get pushed. But when that does open up, that's going to drive some additional passenger volume for PAL Airline.
Unidentified Analyst: Okay. Okay. That's definitely some helpful insights there. And then just really quickly wanted to touch on M&A here with the bought deal financing now closed, I'm wondering if you could talk a bit about the nature of the opportunities you're currently seeing, and if you see more potential for tuck-ins versus bolt-on, existing businesses, or maybe if they're even larger opportunities, you can kind of add a new standalone subsidiary.
Mike Pyle: It's a good question. To be clear and reiterate, as I mentioned on the call, we raised money not to delever, not because we needed it. And you see in our balance sheet. We have lasted that we did at the start of COVID. So the raising of this money was to be proactive because we do see opportunities. It's very interesting that during the pandemic that the bigger transactions have been much harder to do doing due diligence and meeting people, particularly cross border is very difficult, but we've sort of refocused our activities in looking for those acquisitions into companies that are all related to businesses that were already in. So whether they be direct tuck-ins or increasing our geographic breadth of what we do because we know people in the industry, if deals that were doable during a COVID environment did. So I would suggest that the stuff we're looking at now tends to be very closely tied to businesses whether there rent, whether it's a vertical integration play, like you saw us do with WTS late last year, or whether it's geographic expansion or product additions. I think that's what you'll see in the near term. We are looking at some bigger transactions but I would suggest that those are farther away from the finish line, that the other ones, that it would be the tuck-in opportunities of the ballpark opportunities that spurred us to raise the money we did last month.
Unidentified Analyst: Okay. Got it. Got it. That's helpful. That's it for me. I'll pass the line.
Operator: Your next question comes from Kevin Chiang of CIBC. Your line is open.
Kevin Chiang: Good morning, Mike and team. Thanks for taking my question here. Maybe like, and I know there's some moving parts, and I was wondering, when I look at your performance in Q1 for the legacy airlines and provincial, revenue was essentially flat year-over-year, I recognize you have some provincial government programs that you're assisting with. But Carmele talked about and Mike talked about, I think cargo isn't probably going to hear – as is going to stay with us post pandemic. You're optimistic on passenger traffic. And so if I look at Q1 with revenue being flat, just wondering, if all those demand drivers start moving in the right direction, do you have the capacity to deal with that growth or in another way, like, what's your utilization of these assets today and how much can you absorb before you need to think about expanding your fleet?
Mike Pyle: That's a great question, Kevin, in fact, that took up a significant portion of our board meetings yesterday and the day before. We've obviously got capacity to bounce back to where we were in 2019 as fast as the market wants to we've kept more people on than we otherwise would have because of the CEWS that enables us to recover more quickly. As the demand moves, if we've saw in Q2 and particularly Q3 last year, the first half of it, where we got in some markets up to three quarters of normal, very rapidly, and we anticipate the same thing this year. I suspect the one piece of a business that might take a little bit longer is the Northern fishing camps and stuff, because those are reliant on a lot of American customers, which whether that will recover this year. It's hard to say but having said that, it would be single digits of percentages of our passengers. It's not a huge number. As the freight business continues to grow, we will add capacity. And we're actually in discussions as we speak about adding a plane or two into that business so that we can take advantage of market opportunities because we're not the only one seeing increases in this, particularly as Carmele mentioned, as the natural resource market strengthens, that creates opportunities because those are always remote operations that need things to be brought in. So we may acquire while, especially while the price of these planes is somewhat depressed. You may see us out a plane or two in terms of capacity over ensuing quarters, but you're not talking about a big capital infusion required. In terms of passenger aircraft, unless we were in a land new contracts, I don't think we need anymore.
Carmele Peter: The other thing I add is we become quite effective of deploying our aggregate fleet where required. So it's not uncommon for obviously a column aircraft, health perimeter, vice versa, us to have aircraft from provincial out here on the per reach assisting we've actually have with their aircraft at PAL Airlines right now. So we're really effective on utilizing the metal that we do have, and it ensuring that what's used effectively and efficiently.
Kevin Chiang: Okay. That's great color. And you mentioned earlier, I guess you're open to I guess interline agreements maybe partnering up with some of the big airlines to access regional communities. Is that something you would do with your existing, or when you think about the opportunities there, is that something you would do within your existing commercial aviation banners, or is that something you would do within Regional One? Or would you think of starting a standalone I guess charter business that had various CPAs with arger airlines just as, how would that, I guess operation will work?
Mike Pyle: I think while we're in discussions with the other airlines to see how we can do this most effectively, we don't see ourselves moving to a chorus kind of model with a capacity agreement where people are selling tickets on our airlines will be more an interline agreements so that someone does see the community that needs to connect through a regional hub somewhere else can access the other carrier. So it's more of a interline agreement and we would envision doing that through because most of it is in Eastern Canada would be through the PAL banner through Provincial. So we do some of that already with WestJet and expanding that with both our either a WestJet or Air Canada to ensure conductivity through those markets, that as brand in carrier, but as a supplier to, and to deliver passengers to the regional hubs.
Kevin Chiang: Okay. That's helpful. And maybe just the last one for me, if you can share with us, you have good insight into the regional aircraft leasing market and I guess the residual value of these aircraft through our R-One, just how are things trending today versus I guess a year ago, or a little bit over a year ago prior to the pandemic, if you give us a sense of how much lease rates have contracted what do residual values look like today versus look early 2020?
Mike Pyle: Yes, I've mentioned briefly earlier that we were surprised at how little the values changed during the pandemic with as many planes on the ground. As we see, we would have been anticipated bigger price changes, but I think largely because there is no substitute for the type of aircraft we are involved in, which is a narrow body jets and big turboprops. It's got like, there's a new 737MAX version of a narrow body there aren't. And so that the types that are in service, the CRJ and the Embraer are going to be equally needed going forward. And we seen as the American airlines have ramped up service. It's in fact, exactly those smaller gauge aircraft that have gone into service first. And so particularly in North America, the demand for those is strengthened significantly. Europe is a little slower, but we’re beginning to see the discussions there with our customers as those go back into service. And I think the one thing that’s kind of knobbly and driving it further is the concept of trying to create a new 50 seat aircraft. Historically, that was done with the CRJ200, which are getting 30 years plus in age and something that were coming out of service and because of the scope limitations in the union contracts, it’s advantageous for the airlines to fly 50 seat aircraft. And what we’re seeing now is that movement toward taking whether it’s a CRJ700 or perhaps even a 900 in the future, and reducing the capacity of those down to 50 seats by putting in different classes of seats, bigger leg room, and flying from a 50 seat aircraft, it’s increased the demand for those aircraft and correspondingly the demand for the engines because they’re largely flying similar variants of the same engine. It’s fun to use various in a positive way as opposed to just the virus. So we actually see it quite bullish. We haven’t seen a material change in the residual values and you see that in our financial statements, because at year end, we exempted that we didn’t feel the need to write down any assets because as their value in use is strong.
Carmele Peter: And just one additional comment on leasing. During the – I guess the heat of COVID, we saw more power by the hour of type of lease arrangements, which actually fit with the nature of the demand that did exist. And now looking at more, what I’ll call, traditional for us, not traditional in the sense of typical leasing, but more other short-term leases that we would tend to enter into the 18 months, two year type timeframe. So I think you’ll see that slowly get more prevalent as we move on to the pandemic.
Darryl Bergman: I think the one corollary that we should mention is, as we went into the pandemic, we were very concerned about continuing to accrue traditional style leases and ending up with big receivables on our balance sheet that were questionable as to whether they be collectible. So we transferred a lot of our leases from traditional to sort of power by the hour type relationships, which means when the airlines aren’t using them that much, we’re not accruing big amounts. And as such our balance sheet is a remarkably good shape for someone who deals with second and third tier carriers. We aren’t sitting with a bunch of questionable working capitals. And you can see that in the fact that we’ve been able to generate money from working capital that we aren’t building long-term receivables.
Kevin Chiang: No, that makes sense.
Rich Wowryk: There’s one more comment on the residual values. One thing that we want to always keep in mind is that Regional One’s ability to monetize assets goes beyond just being able to lease them out. They have a specialized niche of having the full ability to monetize the assets after they’re done leasing, which regular air carriers might not have. So that ability makes the residual value to Regional One’s significantly better than regular air operators around the world.
Mike Pyle: For those of you, the voice that was Rich Wovryk, our Chief Accounting Officer who jumped in to help me.
Kevin Chiang: That’s right. And I think it was a recent promotion from the press release. So congratulations on that. That’s it for me in terms of questions. Thank you everybody. And have a great weekend.
Mike Pyle: Thanks, Kevin.
Operator: Your next question comes from Steve Hansen of Raymond James. Your line is open.
Mike Pyle: Good morning, Steve.
Steve Hansen: Thank you, guys. Good morning, guys. I’ll be relatively brief. Just one question just to circle back on the M&A, Mike is one of the common themes coming up lately is prospective changes to capital gains tax in the U.S. and what that’s doing to seller behavior. Are you seeing anything in the pipeline that would suggest private company owners are considering selling earlier?
Mike Pyle: The short answer is yes. There is a whole bunch of stuff even before the election, when it was sort of a 50-50, if there was going to be a change in the White House, people were concerned about that capital gains concept. But the strength of the second wave kind of slowed that. And it’s really hard for us with a border in the way that even for pure American buyers, it slows the process. We’re seeing that come to a close and ramp back up. So there is a discussion and we’re excited about the limiting of quarantine with vaccination, so that we could get our due diligence teams effectively across the border. Most of the work we’ve done has been in the country lately, but we are seeing certainly a discussion of more opportunities and people trying to close some of the current fiscal period to potentially avoid the increase in capital gains tax.
Steve Hansen: That’s helpful. Thanks. And just one last one, if I may, I might’ve missed it earlier, as I jumped a bit late. Where would you identify the most serious concerns for inflation in your system? It’s been one of those sort of the key question marks across a lot of the value chain lately. Where are you seeing it the most right now?
Mike Pyle: Unequivocally the most – the place where we received the biggest increases are the same ones you’ve seen at the gas pump. The price of jet fuel is up materially since the pandemic rose. And I’m hesitant to call that inflation, it’s more returning to normal. The price was at absurdly low levels during parts of the pandemic. And we have the ability to pass that on. So it’s not something that gives me undue concern and as the market strengthens we’ll take a look at our fuel surcharges and move them appropriately. We did reduce them when prices went down. So the ability to move the backup is there. We do see a little bit based metal stuff as well. But again, most of the contracts we’re doing they’re based on a base metal price. And so we have the ability to pass that on in a lot of circumstances as well. So to be honest, the inflationary concern is more of a general market discussion from our point of view. It’s not so much a practical input again, other than fuel in our business specifically.
Steve Hansen: That’s helpful.
Operator: Your next question comes from Nauman Satti of Laurentian Bank. Your line is open.
Mike Pyle: Good morning, Nauman.
Nauman Satti: Yes. So my first question is, if you could just provide some color on the mountain flight school have the students come back and what’s your thought process like where you see it heading in the coming weeks or month?
Mike Pyle: Again, that’s a really good question. We have – the guys there have had a tough go because the training students haven’t been able to enter the country. We have been in constant contact with our customers in China and worked with them on selecting the next class. We are cautiously optimistic that we will have our first batch of students reasonably soon into quarantine in the Maritimes and then into the school. I’m hesitant to give precise timelines on that because it changes so fast. But we are very tight with the Chinese, they’ve made statements that they expect to be back at 90% of pre-pandemic volumes very quickly. And that means they need a lot of pilots. So it’s really a simple as soon as we can get them safely into Canada that this will ramp up very quickly. And we’re cautiously optimistic that the beginnings of that are reasonably soon, but I’ve not prepared to give an exact date until it actually happens.
Nauman Satti: Okay. That’s fair. That’s great color. And just within the manufacturing segment it appears that if Quest was a bit weak, there were some of the other portfolio names within that did well. So if you could highlight any of the other names that maybe did well or what’s happening with the other portfolio companies?
Mike Pyle: I would suggest you like the – with the exception of our Alberta operations, which actually has improved, but are still challenged by the lower oil prices and the pandemic in Alberta. So virtually everything else has done very well. Our operations in Ontario, machine demand is exceptional. They’ve had a hard time off being in a hotspot in New York or PLA. I forget which one, in PO. And our business in Springfield is busy as is our business in DC with Overlanders all of them have strong prevent profiles. There’s been some timing differences in our LV controls business here in Winnipeg, but again, demand is really strong in that. And Quest has – it’s interesting. We talked a lot about how things don’t always go the right way or always go the wrong way all at once. And Quest to be a story of that, the two acquisitions we’ve done, our ability to install in the U.S. have continued to perform well, add to our bottom line. While, Quest as a whole has struggled with plant shutdowns and intermittent absenteeism because of the pandemic and because of the snow storm. And that will continue to bother us over the next two, three quarters as projects are deferred. But the exciting part of that is we’ve seen that all parts of the log we’re working, the Duke plant in Texas is operating the way we expected to. And so as we get back into full production in 2022, we’re very excited about the opportunities there. In fact, we’re actually seeing opportunities in non-traditional Quest markets. We’ve talked about expanding our areas of operation in the past, and we’re hopeful that we’ll be able to talk to you about in future quarters some successes in that area. So Quest has got some short-term pain. We’re starting to make the long-term bookings and replace the things that were postpone. But with the nature of that business people don’t decide to build the apartment next month, it’s next year or 18 months from now. So it’ll take a bit for that to stabilize and return to grow. But we are very bullish on that business.
Nauman Satti: Okay. No, it makes sense. That’s it from my end and congrats on the quarter. Thanks.
Mike Pyle: Thanks, Nauman.
Operator: Your next question comes from Matthew Lee of Canaccord. Your line is open.
Mike Pyle: Good morning, Matt.
Matthew Lee: Good morning, guys. So I just wanted to ask what the opportunities you’re seeing on aircraft acquisition. You mentioned new airlines coming online, but are you still seeing opportunities to acquire aircraft at a reasonable rate? Or has it maybe been a tightening of the supply of narrow body plane?
Mike Pyle: There’s still – there are opportunities at different places because the markets are different, but there is absolutely been a tightening, particularly in North America and the demand for the CRJ200, 700 and 900 model. ERJ is perhaps not quite as much but there’s still – there are still opportunities. The other thing where we’ve actually expanded our presence significantly, it is the Q400, the big turboprop market. We’re seeing opportunities to both acquire and deploy. We bought a bunch of them at current value, it could help. It was at the end of last year or the beginning of this year…
Carmele Peter: Purchases are spread out over time.
Mike Pyle: And we’ve been able to deploy those aircraft and continue to look for more opportunities to acquire them. It’s an exceptionally flexible aircraft and has a lot of different uses different parts of the world. We’ve deployed them in North America and Africa and other places. So I think to answer your question, it’s a bit of column A and a bit of column B. It’s definitely tightening in the regional jet market. The turboprop market is probably a little bit slower.
Matthew Lee: Great. And then, maybe on the manufacturing side, can talk about the progress that you’ve kind of made so far in Q2 on improving the efficiency and throughput? Will you maybe look to expanding workforce or facilities to meet the demand that you’re seeing now that it’s back to pre-pandemic level?
Mike Pyle: I’m going to give this mostly to Carmele, but the one thing that I’d like to say before I hand it to her is just in this last wave of the pandemic it’s been the most difficult clearly for us in manufacturing. Not only the amount of the disease, but how sick people are getting and the age of the people that are getting sick has resulted in more absenteeism, more plant inefficiency in the near-term. Again, the cure for that is vaccinations and we’ve seen that take all good places. We had a pop-up clinic at one of our manufacturing facilities in Ontario, which has now resulted in our factory being essentially fully vaccinated. So the heartburn that isn’t over yet, but we could see the finish line. Carmele, if you want to take efficiencies a little closer to be.
Carmele Peter: Sure. So on the efficiencies front, we continue to struggle in particular because of that plants – our main vaccine plants are in large part in hot zones, so Dallas and Ontario region. So that is not over. And as Mike pointed out, employee absenteeism maybe better described as required employee absenteeism is one of the biggest hurdles that we face because it’s folks not just to a contracting COVID, it’s folks that need to get tested, it’s folks that are close contacts, it’s folks that need to be quarantined. So you don’t know on any given day, how many or who is showing up, and that obviously presents challenges on, do you have enough in a particular department to actually run that department? You have to shut down the department because you simply have everyone, let’s say, in close contact. So that will continue until we get kind of vaccination rates up. But as Mike pointed out, we’re making great progress on that. Some of the things that we have done to try and mitigate that is obviously flexibility. We bring in more folks than we would typically have, so that if we’re expecting a certain number, not to show up, because they can’t, we’ve got already replacements there. Different shifts that we’ve been able to put in place just how we schedule folks so that we can actually increase the overall production hours with our folks. And then, once we deal with the vaccinations and we get a steady flow of our folks back, that’ll make a big difference. So right now still babbling through up, but the light is certainly at the end of the tunnel.
Matthew Lee: All right. That’s perfect. And then just one last cleanup question, are you expecting a similar Q benefit for the remainder of the year in the $9 million range per quarter, or…
Mike Pyle: No. We anticipate that declining, we will still have some benefits in the second quarter, if we have any benefit beyond the second quarter, I’m doubtful. Again, it depends on what happens with aviation. But my guess is that we’re going to see a fairly rapid bounce back towards the end of the second quarter into the third. So I really need a crystal ball to be able to answer that specifically, but I can tell you equivocally, we expect it to decline materially.
Matthew Lee: I appreciate it.
Operator: Your next question comes from Konark Gupta of Scotiabank. Your line is open.
Konark Gupta: Good morning, Mike. So maybe, if I can begin with the Q1 EBITDA which was essentially flat versus Q1 of 2019. Now we know that as you said on the call today Regional One is gradually rebounding, especially in the U.S. as well you are seeing some green shoots elsewhere in the business across Exchange Income. The government support also continues all the way. I think it’s declining slightly sequentially here, and then you’ve got some extensions apparently right on the government support. Now putting all that together, can we or should we expect the next three quarters to be relatively similar to the comparable quarters of 2019, even without a full recovery in demand?
Mike Pyle: I think what we – what I would suggest is that in the second quarter, we are dealing with this really tough third wave, but I would still anticipate beating last year’s numbers somewhat exactly, by how much I’m not sure. But it depends on how quickly these things are released to travel requirements and the increase in medical flows. But even with those, I would expect to be slightly stronger than last year. When we get into the back half the year that’s really hard to answer simply because I don’t know how rapid the bounce back is. But I think numbers in the realm of what we experienced last year, because our Q3 and Q4 particularly Q3 was exceptional last year. I don’t know if the number in front of me, but it was 80-something-million dollars in EBITDA. So moving towards that I think is acceptable.
Konark Gupta: Okay. That makes sense. Thanks, Mike. And on the Quest, you talked about the production gaps this year, which is obviously impacting. Can you quantify the production gap this year? And then when do you expect to fully catch up on these production gaps?
Mike Pyle: I can’t quantify it, or at least I’m not going to. In terms of when it bounces back, I think the beginning of next year, you’ll start to see it ramp. And we’re really looking at ramping past 2019 as we go through 2022 into 2023. The demand remains strong. We’re negotiating in all sorts of markets with people. And I would say the Canadian bounce back is probably the strongest of all in Toronto, the opportunities are good and surrounding communities. Carmele, would you like to add the color to that?
Carmele Peter: I mean, I think Mike covered it. When we look at Quest, what you’re really seeing this year is simply the push because of COVID on project deferrals and you just can’t fill those gaps. So short-term, yes, you’ll see a slowdown in revenues, but we’re really bullish on what we see going forward in the 2022 and onwards. I mean this last quarter the number of inquiries, solid inquiries, so we’re really optimistic. And so, together with actually the acquisition of our installers in the U.S. AWI that also provides us with a greater foundation for leveraging that on a go-forward basis as well. So all in all good, just like a blip as we make our way through 2021.
Konark Gupta: That’s good. Thanks, Carmele. And then Regional One, Mike if I can ask on your exposure to the U.S. market, because you call it out saying, things are improving there. How much portfolio or what kind of revenue exposure do you see Regional One has to the U.S.?
Mike Pyle: The U.S. would be a significant majority of our parts business at Regional One. But in terms of our leasing business, the biggest part of that would be in Europe. And there’s nothing that says those planes need to stay in Europe, but historically that’s where they’ve lived. And so when you look at the recovery, the U.S. is first and as our parts business is first. So it exacerbates that you saw even some bigger value transactions in the first quarter, which was quite frankly, probably surprising internally, but those have come as quick as they have, because the lease business is more Europe centric. I think it’ll be a little bit more delayed in terms of returning to normal. But not withstanding the travel, lockdown still exist in Europe. The airlines are getting ready. They could see that business starting to ramp. And so we anticipate that improving as well. But the dominant portion of our parts business would be North American whereas the dominant portion of our lease business would be the rest of the world.
Konark Gupta: Thanks. And last one for me on Regional One. So like we haven’t – I think we haven’t seen a significant amount of capital being deployed at Regional One during this pandemic, unless I’m looking at the numbers differently. So I’m curious as to your thoughts on, do you see any risk of losing the attractiveness of aircraft valuations? I understand they are not down too much in values, but whatever the values have gone down by, are you going to see any risk of losing the attractiveness here by waiting too long and executing on the aircraft acquisitions.
Mike Pyle: The real short answer is, no. The slightly more involved answer is, we’re looking at that stuff every day and we’ve picked up planes here and there, but the bottom line is we’re not going to chase because we sell at retail and we buy at wholesale. And so we’re very careful where we go. And that’s why you saw us jumping into that transaction with the E190. We saw a mismatch in the market between the value of the aircraft as a whole, as the sum of its parts. And we jumped in and bought those. And so if the question were did we expect that we’d be able to buy more during the pandemic? I think the answer would be yes. But the glass half full part of that is we bought less because the product – the value of the planes hasn’t changed that much. So it’s not like we’ve missed an opportunity by being conservative. It’s more that the opportunity hasn’t materialized as much as we would have hoped. But on the bright side of that is the assets we own are at better value. So it’s really a case of – the governments around the world have made sure the airlines business stays in business. And without the failures, you haven’t seen as many forced sales or without the forced sales, the aircraft have held their value, particularly the type we have. If we were at 737’s or some other – or some of the bigger craft are being retired, very different story. But as Rich mentioned, the key to Regional One’s businesses, we understand the proponent values so that we don’t need to sell it as a complete aircraft. We can part it out at the end of its lease life. We don’t have that knowledge and certainly those other aircraft types. So we haven’t been asked because we’re not prepared to make a bet. And that’s what it would have been – it would’ve been gambling, we’ve stuck to our identity.
Konark Gupta: That makes a lot of sense. Perfect. Thanks Mike.
Mike Pyle: Thanks.
Operator: Your next question comes from Tim James of TD Securities. Your line is open.
Tim James: Thanks. I just have a really quick follow-up question here. Probably for Darryl, I guess. Just interested the depreciation in the quarter dropped sequentially fairly significantly really. I’m just wondering why that was?
Darryl Bergman: I think what you’re going to see Tim is that if you look at it quarter-over-quarter we had more balance – more assets in the balance sheet last year plus you see factor in foreign exchange and then what you’re also going to see is green time on our assets is lower because of our lower use and therefore, it no longer – sorry, it’s not depreciating as quickly.
Rich Wowryk: Tim, are you asking quarter-over-quarter compared to Q4 last year or Q1 of last year?
Tim James: I’m comparing sequentially, so Q4 of 2020, it dropped by call it $5 million. The value of PP&E as a bit of a proxy was actually up from the end of Q4 to the end of Q1. So it just surprised me a little bit that the depreciation fell from Q4 by over 15%. That’s all.
Rich Wowryk: There’s a couple of things. So several of our components are depreciated based on ours, so Q4 compared to Q1 is not a good comparative. Generally, we would expect in certain businesses to have a lower depreciation in Q1 versus Q4. The foreign exchange would be an impact as well rates – as Canadian dollar continue to strengthen. And the last thing is, you noted that the capital assets are going up. But a lot of the money that we’re spending to drive the increasing capital assets relates to the fixed-wing search and rescue the Netherlands contract, or modifying aircraft that are not available for use. We’re not appreciating those ones yet. So you’re not going to see the depreciation on those ones pick up yet.
Tim James: Thank you, Rich.
Rich Wowryk: But it’s really the utilization of the fleet compared to the Q1 versus Q4 for components that are done on an hourly basis that drives it. And Darryl touched on it as well. The depreciation – for items that aren’t appreciated using hours, the annual review of the useful life of our assets is fact in the beginning of the quarter. So to the extent that assets were under utilized in 2020, the green time available on each component part is longer than we would have originally estimated pre-pandemic, extending the useful life of those assets and therefore, in the short-term decreasing depreciation.
Tim James: Okay. Thanks. Thanks very much for the explanation.
Operator: There are no further questions at this time. I will turn the call back over to Mr. Pyle for closing remarks.
Mike Pyle: Thank you for joining us today. It’s great to be able to reach out and explain what’s going on in our operations. I look forward to speaking with many of you again in an hour or so when we go through our annual general meeting. And I’m pleased to let you know that in our general portion of the meeting coming up in the AGM, we’re going to have several of our CEOs giving brief speeches on how the pandemic has affected their business and what they’re doing. So if you’re debating whether you want to listen again, you don’t have to listen to Carmele and I give answers again. There’ll be a new group of folks to listen to. So thank you very much for joining us. We’ll talk to you again in August. So it’s our second quarter results. Most importantly, stay safe.
Operator: And this concludes today’s conference call. Thank you for participating. You may now disconnect.